Operator: Fourth Quarter and Full Year 2025 Earnings Conference Call. Good afternoon, and welcome to Global Net Lease, Inc. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. If anyone should require operator assistance during the conference, as a reminder, this conference is being recorded. I would now like to turn the call over to Jordyn Schoenfeld, Vice President at Global Net Lease, Inc. Please go ahead. Thank you.
Jordyn Schoenfeld: Good morning, everyone, and thank you for joining us for Global Net Lease, Inc.’s fourth quarter and full year 2025 earnings call. Joining me today on the call is Michael Weil, Global Net Lease, Inc.’s Chief Executive Officer, and Christopher J. Masterson, Global Net Lease, Inc.’s Chief Financial Officer. The following information contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Please review the forward-looking cautionary statement section at the end of our fourth quarter 2025 earnings release for various factors that could cause actual results to differ materially from forward-looking statements made during our call today. Also during today's call, we will discuss certain non-GAAP financial measures, which we believe can be useful in evaluating the company's financial performance. Descriptions of those non-GAAP financial measures that we use, such as AFFO and Adjusted EBITDA, and reconciliations of these measures to our results as in accordance with GAAP are detailed in our earnings release and supplemental materials. I will now turn the call over to our Chief Executive Officer, Michael Weil. Mike?
Michael Weil: Thanks, Jordyn. Good morning, and thank you all for joining us. 2025 was a transformational year for Global Net Lease, Inc., as we executed a series of deliberate and highly impactful actions that materially reshaped our financial and operational profile, strengthened the quality and focus of our portfolio, and established a more durable foundation for our company's long-term growth. The centerpiece of our transformation in 2025 was the successful execution of our $1.8 billion multi-tenant retail portfolio sale, which accelerated our deleveraging strategy, materially strengthened our balance sheet, and completed our evolution into a pure-play single-tenant net lease REIT. This portfolio simplification improved the overall efficiency of the company by driving meaningful reductions in operational complexity, which allowed us to lower both G&A and capital expenditures. The multi-tenant retail portfolio sale was a significant milestone in our disposition program launched in 2024, through which we have completed approximately $3.4 billion of sales to date. The disposition program included $995 million of occupied single-tenant non-core assets at a 7.6% cash cap rate and $2.0 billion of occupied multi-tenant assets at an 8.2% cash cap rate, and concluded in December 2025 with the sale of the McLaren campus for £250 million at a 7.4% cash cap rate. The McLaren sale generated approximately £80 million, or $108 million, of value above its original acquisition price and further enhanced the quality and focus of our portfolio, as it increased the proportion of investment-grade tenants among our top 10 tenants to 80% in 2025 from 73% in 2025, while also reducing our exposure to the automotive industry. The net proceeds from these non-core asset sales under our disposition program were deployed with clear priorities. We applied capital directly to deleverage our balance sheet, reducing outstanding debt by more than $2.8 billion since 2023 and improving net debt to Adjusted EBITDA from 8.4x to 6.7x over the same period. This improvement meaningfully enhanced our financial flexibility and positioned us to act from a position of strength in the debt capital markets. This enabled us to further de-risk our balance sheet by executing a $1.8 billion refinancing of our revolving credit facility, which secured improved pricing, enhanced liquidity, and extended the maturity from October 2026 to August 2030, including two additional six-month extension options, and extended the maturity from October 2026 to August 2030. Our decisive actions were recognized by the credit rating agencies, with Fitch upgrading Global Net Lease, Inc.’s corporate credit rating to investment-grade BBB- from BB+, and S&P Global lifting our corporate rating to BB+. These upgrades marked a major milestone for the company and validate the progress we have made in reducing leverage, improving portfolio quality, and strengthening our overall credit profile. Finally, as our disposition program continued to generate incremental proceeds, it provided additional flexibility to pursue other value-enhancing initiatives. Beginning in 2025, this included the opportunistic repurchase of 17,200,000 shares through 02/20/2026, at a weighted average price of $7.88, with continued deleveraging. We have been disciplined in deploying capital in a manner we believe balances accretive share repurchases with continued deleveraging. We repurchased shares representing total repurchases of $135.9 million and an implied AFFO yield of approximately 12%. Our outperformance in 2025 was driven by disciplined execution of our corporate strategy, which translated into meaningful shareholder value creation, reflected by Global Net Lease, Inc.’s total return delivering 32% in 2025 compared to a 6% return for the net lease sector. We have begun to close the valuation gap with our peers through disciplined execution in 2025, and while we are pleased with the results achieved so far, we also believe there is a clear path to continued growth by the execution of our 2026 corporate objectives. We are evolving from a strategy centered primarily on deleveraging and dispositions to one focused on the accretive recycling of capital. This includes remaining selective and opportunistic with asset sales, particularly those that materially reduce our office exposure, and redeploying proceeds accretively into single-tenant industrial and retail acquisitions on a leverage-neutral basis. Importantly, we continue to actively evaluate our office portfolio and are currently marketing the sale of several assets, and we will provide additional details as the transactions progress. At the same time, we are evaluating multiple redeployment opportunities that can be funded within our existing capital framework and meaningfully contribute to earnings growth, executed on a leverage-neutral basis, preserving the balance sheet quality we have worked to establish. Turning to our portfolio, at the end of 2025, we owned 820 properties, spanning nearly 41 million rentable square feet. Our portfolio’s occupancy stands at 97% with a weighted average remaining lease term of 6.1 years, and a high quality of earnings with an industry-leading 66% of tenants with an investment-grade or implied investment-grade rating. It has an average annual contractual rental increase of 1.4%, which excludes the impact of 19.6% of the portfolio with CPI-linked leases that have historically experienced significantly higher rental increases. On the leasing front, we delivered strong results across the portfolio, reflecting the depth of our asset management capabilities and the quality of our tenant relationships. In 2025, we executed leases on more than 3.7 million square feet and achieved renewal spreads of approximately 12% above expiring rents. During the year, we completed multiple lease extensions with high-quality tenants, including Home Depot, GXO, and FedEx, at an office asset. New leases in 2025 carried a weighted average lease term of approximately 5.2 years, and renewals completed during the period had a weighted average lease term of approximately 6.5 years, further supporting cash flow visibility and the durability of earnings. We remain focused on engaging with tenants well in advance of lease expirations to drive occupancy, retention, and rental growth, while maintaining a long-term perspective on portfolio stability. Our continued efforts and results in limiting exposure to high-risk geographies, asset types, tenants, and industries are a testament to our intentional diversification strategy and credit underwriting. No single tenant accounts for more than 6% of total straight-line rent, and our top 10 tenants collectively contribute 29% of total straight-line rent, with 80% being investment grade. We carefully monitor all tenants in our portfolio and their business operations on a regular basis. Everyone can look at the detail of each segment of our portfolio, which can be found in our Q4 2025 investor presentation on our website. I will now turn the call over to Christopher J. Masterson to walk you through the financial results.
Christopher J. Masterson: Thanks, Mike. Please note that, as always, a reconciliation of GAAP net income to non-GAAP measures can be found in our earnings release, which is posted on our website. For the fourth quarter 2025, we recorded revenue of $117,000,000 and net income attributable to common stockholders of $37,200,000, reflecting a strong finish to the year driven by disciplined execution. AFFO was $48,500,000, or $0.22 per share, exceeding our revised 2025 AFFO per share guidance range of $0.95 to $0.97, and then $0.99 per share for the full year 2025. Looking at our balance sheet, the gross outstanding debt balance was $2,600,000,000 at the end of 2025, a $2,100,000,000 reduction from the end of 2024, and our net debt to Adjusted EBITDA ratio was 6.7x based on net debt of $2,500,000,000, down significantly from 7.6x at the end of 2024. Our debt is comprised of $1,000,000,000 in senior notes, $324,200,000 on the multicurrency revolving credit facility, and $1,300,000,000 of outstanding gross mortgage debt. As of the end of 2025, 98% of our debt was effectively fixed through either contractual fixed rate or interest rate swaps, providing strong visibility into future interest expense. As a result of significant debt reductions from asset sales, refinancing activity, and improved borrowing costs, our weighted average interest rate stood at 4.2%, down from 4.8% in 2024, driving a 45% reduction in quarterly interest expense to $42,600,000 from $77,200,000 a year ago. Interest coverage ratio was 2.9x, reflecting the combined benefits of lower leverage and reduced interest cost. From a debt maturity perspective, we have limited expirations only $95,000,000 of debt maturing in 2026. Given our strong liquidity position, we expect to address this maturity through refinancing onto a multicurrency revolving credit facility. We will continue to manage borrowings effectively on our revolving credit facility to take advantage of its lower interest rate spreads across currencies, generating approximately 170 basis points of interest savings based on rates as of 01/30/2026. As of 12/31/2025, we have liquidity of approximately $961,900,000, and capacity on our revolving credit facility was $1,500,000,000, compared to $492,200,000 and $460,000,000, respectively, as of the end of 2024. Additionally, we had approximately 216,000,000 shares of common stock outstanding and approximately 219,100,000 shares outstanding on a weighted average basis for 2025. Beginning in 2025, and through 02/20/2026, we have repurchased 17,200,000 shares totaling $135,900,000 under our share repurchase program. We repurchased shares at a weighted average price of $7.88, well below recent trading levels, which has since increased approximately 20%. These repurchases were executed and delivered in a highly accretive manner, which we believe created meaningful value for shareholders. We are pleased to establish initial 2026 guidance of AFFO in the range of $0.80 to $0.84 per share and net debt to Adjusted EBITDA in the range of 6.5x to 6.9x. The 2026 guidance assumes a gross transaction volume of $250,000,000 to $350,000,000, inclusive of both acquisitions and dispositions. This initial guidance also reflects our focus on reducing office exposure, along with the optionality to redeploy net sale proceeds in a disciplined, leverage-neutral manner we anticipate would drive earnings growth. I will now turn the call back to Mike for some closing remarks.
Michael Weil: Thanks, Chris. The actions we executed throughout 2025 represent a decisive and comprehensive repositioning of Global Net Lease, Inc. as we enhanced the overall quality of the company by simplifying the portfolio, materially reducing leverage, strengthening liquidity, and improving our credit profile, with what we believe is a clear path to earnings growth. These were not incremental changes, but deliberate and coordinated actions taken by Global Net Lease, Inc. to reset the company's trajectory. We look ahead to 2026 from a position of strength and meaningfully expand our strategic flexibility as we enter the next phase of growth. Driven by disciplined capital recycling, alongside a continued emphasis on further deleveraging over the long term. Our strategy prioritizes monetizing select office assets and redeploying capital into accretive acquisitions of single-tenant industrial and retail assets that enhance earnings durability and portfolio strength. We are currently reviewing a number of accretive acquisition opportunities that align with this approach and support our long-term objectives. With a streamlined operating platform and enhanced financial flexibility, we intend to execute this plan with discipline. On behalf of the entire management team and board, I want to sincerely thank all of our shareholders and analysts who have put their trust in Global Net Lease, Inc. as we have accomplished all of these corporate goals. We intend to remain on this path with a continued focus on thoughtful execution and long-term value creation. We are available to answer any questions you may have after the call. Operator, please open the line for questions. Thank you.
Operator: We will now be conducting a question-and-answer session. If you would like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 if you would like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. Thank you. Our first question comes from the line of Mitch Germain with Citizens JMP. Please proceed with your question.
Michael Weil: Hey. Good morning, Mitch.
Mitch Germain: Michael, I would like to get some perspective on the McLaren office sale. Was that a reverse inquiry, or was that an asset that you were marketing?
Michael Weil: Good morning or good afternoon, maybe, and congrats on the year. There was just natural interest in that asset. As many people know, it is a very well-known campus. An independent third party having a relationship with McLaren, as I have kind of talked about in the past, I wanted to make sure that they had an opportunity to see the asset before we took any action. And through kind of their ownership structure, it proceeded that way. So, no, it was not a highly marketed transaction. We had an inquiry.
Mitch Germain: Do you think that you could replicate that kind of pricing for additional office sales, or do you think that is not representative given the quality of the property and brand that is the tenant of the asset?
Michael Weil: Yeah. So we actually believe, Mitch, that the net lease office portfolio within Global Net Lease, Inc. is in many cases equivalent value to what we sold McLaren for. And one of the reasons that we have identified that as a 2026 goal is because we can say that; I think the best way to prove value is to execute on it. So, we are not at a point where we want to disclose specifics, but we have a number of office assets that have significant interest, and I am very comfortable that this is the area of pricing that you will see. We will probably have announcements on several office assets, maybe end of first quarter, but definitely second quarter.
Mitch Germain: Great. Last one for me. Just talking about capital allocation. Excuse me. Given the attractiveness or the discount that you could buy your stock back at, I mean, how does that weigh in? Because it definitely seems like there might be a shift in deployment for asset rather than stock here. So just curious in terms of how the buyback fits in your overall strategy on a go-forward basis, please? And thank you.
Michael Weil: Sure. Thank you, Mitch. So the buyback remains a very important tool that we have at our disposal. We are going to continue to evaluate opportunities, as I said, but we are certainly not going to just put money out for the sake of saying we bought certain assets. There is still benefit to opportunistically retiring more shares of Global Net Lease, Inc. As you said, and I completely agree, two or three months ago it was a no-brainer. That stock buyback was much more accretive than anything that we could see in the market. There will still be a reasonable expectation this stock is worth buying back. But we will be more active in evaluating acquisitions. Again, I think we have been extremely deliberate and very disciplined in how we have approached this last 18 months of Global Net Lease, Inc.’s performance, and there is nothing that we are more focused on than continuing that. Thank you.
Michael Weil: Thanks.
Operator: Our next question comes from the line of Upal Dhananjay Rana with KeyBanc. Please proceed with your question.
Michael Weil: Hi, Upal.
Upal Dhananjay Rana: Hey. How is it going, and good morning out there? Good morning. You know, just on the office asset dispositions, is there a particular strategy you are trying to accomplish there that either improves your portfolio the most or showcases the embedded value in your office portfolio?
Michael Weil: Yeah. It definitely—we want to highlight the implied value of the office because I think there is a bit of a disconnect in the market. You know, single-tenant net lease, investment grade with duration is still a valuable asset class. The other thing that we are really focused on is we have heard from a lot of shareholders, and frankly, the feedback is they believe that Global Net Lease, Inc. will be a better portfolio more heavily weighted to industrial primarily, and also retail. So we certainly do not want to dismiss that value either. So we are going to intentionally market the office to really unlock value here. So, you know, as Mitch asked and as you bring up, our asset management team is working very hard on identifying the right brokers, talking to potential buyers, and then we will redeploy into the asset classes of net lease industrial. You know, that is real value. You know, when we can do this in kind of the same—let us just call it mid-7s range, maybe a little lower, maybe right there. Some retail. But right now, I am really focused on industrial. So I think that is the way to proceed into 2026.
Upal Dhananjay Rana: Okay. Great. That was helpful. And can you talk about the decision to provide transaction guidance? And maybe you can break down how much are dispositions and how much are acquisitions?
Michael Weil: Yeah. So I think that it was important that we make it very clear. You know, we spent the last, call it, 18 months aggressively pursuing a disposition strategy because it was really the important part of what we could do. It was very, very important. You know, we lowered our leverage. We lowered our cost of capital. We sold about $3.4 billion. We are ready now. As I talked about last quarter, kind of just alluding to—but we are really ready to get back on what I think of as the offensive. And we will evaluate opportunities. We will take our time and, as we have done in the past, we will disclose when we believe that the deal is at a point that it has real assurity. But we are also going to, as I said, continue with a few more opportunistic dispositions and beneficial acquisitions for the long term. So, no, we are not at a point right now where we want to break out the transaction volume, but we did want people to know that there will be growth in this portfolio starting this year—earnings growth. But we really also are focused on, frankly, still more focus on continued deleveraging. We are going to do that through the combination of opportunistic share repurchase, the proceeds from dispositions, and then acquisitions itself. We have got—
Upal Dhananjay Rana: Okay. Great. That was helpful. And then last one for me. On acquisitions, what cap rates are you eyeing and what investment spreads are you targeting there? And are these acquisitions likely to be in the U.S. or abroad?
Michael Weil: Well, we have not provided that level of detail in our disclosure, Upal. So what we are committed to is accretion and AFFO growth. So, you know, as we take a look at cost of debt and cap rates, you know, the market is one where you really have to selectively pick and choose your acquisition targets. It will give us an opportunity to work with developers, with certain brokers in the market, the relationships that we have, as I have said in the past, to make sure that we are able to maintain buying cap rates that allow for that type of growth. So, without giving more detail than I can, that is how we will underwrite the opportunity to buy in the U.S. and the U.K. and Europe. We will certainly consider opportunities in the U.K. and Europe, as well as, of course, the U.S. So the team is busy. Everyone is very excited to be back at that part of the job that, you know, we had kind of put on hold for the last two years. But it will be a very selective process. It will continue to have duration. It will have credit tenants primarily, investment grade or implied investment grade. And I think fair to say predominantly in the industrial space. And thanks, Upal. Talk to you soon.
Operator: Our next question comes from the line of John P. Kim with BMO Capital Markets. Please proceed with your question.
Michael Weil: Hi, John.
John P. Kim: Hey, Michael. Hi, everyone. Just wanted to ask about your strategy change. So over the last few years, you have been prioritizing strengthening the balance sheet, and your stock got rewarded for it last year. With your leverage of 6.7x? And now it seems like you are shifting to offense and focusing more on growth. I guess my question is why stop now?
Michael Weil: So we are not stopping, John. I think that is a great question. By no means are we saying, hey, we are now going to just do a 180-degree turn and go 100 miles an hour and just be blind to acquisitions so that we can line the balance sheet and say we bought this and we bought that. We will continue to look at different opportunities, including share repurchase, select acquisitions, etcetera. That will give us an opportunity to continue to take leverage into consideration. So I think for right now, it is important that we have that opportunity to selectively grow. We are going to balance the things that we know are important to the market. But we are going to start putting our foot back in the water on some potential acquisitions. It will still continue to have a focus on leverage.
John P. Kim: And you mentioned the office pricing in mid-7s. Is there anything unique about the disposition cap rates? And if there is any secured debt associated with these assets or locationally, are they unique? And if you can give us just a quantum on how much you are looking to sell and buy this year.
Michael Weil: So, what is unique about these assets compared to office in general is that the net lease characteristics of office are just stronger than the overall U.S. office market. We have a majority of our tenants that are investment grade. We have got good duration on the portfolio. And these are tenants that people are comfortable with. They are typically, as I have said over many quarters, mission critical to the companies themselves. They are predominantly office, but they have a component of R&D or light assembly and storage. So just for the long-term operation of the tenant’s business, these are important assets. And because of that, they have a successful return-to-office program that has been in place for probably longer than most office properties. It is typically a local buyer who will acquire these properties. It could be a 1031 buyer. But we have sufficient evidence that we will be able to trade at these types of levels and really prove value for these properties. We have not specified dollar value of what we will sell, but we will continue to update quarterly.
John P. Kim: And then in terms of acquisitions, your shares are probably trading at approximately an 8.5% AFFO yield. Is that the hurdle rate for acquisitions that you are looking at? Or are there other factors that would lead to different cap rates on acquisitions?
Michael Weil: I mean, as I say over and over, because it is the primary focus, it is driven by accretion. So we have those targets. Now we look at everything overall: the proceeds from dispositions, the combination of stock buyback, and then acquisitions itself. We know where we need to be, and that will drive our kind of go/no-go on those acquisitions.
John P. Kim: Okay. Thank you.
Michael Weil: Thanks, John.
Operator: Our next question comes from the line of Jay Kornridge with Cantor Fitzgerald. Please proceed with your question.
Michael Weil: Hi, Jay. Good morning.
Jay Kornridge: Good morning. No. I guess just sticking with the theme here of the office sales. I guess I just wanted to clarify: are there any other maybe non-office dispositions you would be eyeing to reduce certain tenant exposures this year? And then, what are you trying to get the office segment down towards?
Michael Weil: I think that it is important that we evaluate the contribution that the stabilized office portfolio makes to the overall earnings of Global Net Lease, Inc. So I think that if we can take a subset of the office portfolio and prove value, my hope is that it gives people the confidence that there is no reason to sell at a price that we do not think represents the types of values that we are talking about. And we will intentionally continue to lower our exposure to office, but we do not want to get into any kind of rushed sale because then you lose the opportunity to really maximize value. And because of the performance of the office portfolio, we will continue to update our view. You know, right now, I think that to be prudent, we probably are leaning a little bit more towards the U.S. market, just because there is some uncertainty as it relates to U.K. and Europe. We are very comfortable there. We have a great team in place. We know the markets very well. You know, it is just part of the overall 2026 operating plan to do that. As far as other assets, there are certain assets that, for a number of reasons—it could be a tenant’s plan at an asset, potential value from redevelopment, or other factors—yes, we will potentially dispose of certain other assets during the course of the year.
Jay Kornridge: Okay. Thanks for that perspective. And then just, as you think about shifting more offensively, you referenced having a priority for industrial and some retail. But as you think about your investment outlook for you guys going forward, do one of those two markets between the U.S. and Europe present a more favorable environment?
Michael Weil: You know, as the U.S. is working through tariffs and trade relationships and things like that, for the time being, I think that the U.S. is just a little easier to understand. But, again, by no means do I want to say that we do not value the U.K. and European assets that we own. One of the great things about them is they are typically not export businesses. They are operating businesses that supply their local markets in the U.K. and Europe. So they have not been impacted by recent tariffs and trade agreements. So to come back to what I have already said, Jay, yeah, I think for right now, we are most focused on the U.S.
Operator: Our next question comes from the line of Michael Gorman with BTIG. Please proceed with your question.
Michael Patrick Gorman: Hi. Good morning. Thanks for the time. Hi, Michael. Just a quick one for me. Fourth quarter run rate would annualize to about $0.88 a share, understanding you have to make an adjustment for the McLaren sale, which was very late in the quarter. When I think about the accretion from capital recycling, it feels like maybe there are a couple of points that we are missing here that would maybe kind of push the guidance down to that $0.82 midpoint from where I would expect it to be. Is there anything else going into guidance in 2026 that might be a headwind against some of the growth metrics that you guys are talking about here?
Christopher J. Masterson: Well, I think it is probably worth just pointing out within the fourth quarter, we did have some tax benefits that we identified as part of our year-end process, which did give us a little over $0.01 in AFFO. So that is something that kind of throws off fourth quarter run rate.
Michael Patrick Gorman: Yep. That is super helpful. Thank you. And then, Mike, maybe just one quick one. We spent a lot of time talking about the portfolio and asset transactions going into 2026. Are there any potential vacant asset sales that you are targeting for 2026 that maybe could provide funding for acquisitions and also benefit maybe from a debt-to-EBITDA perspective?
Michael Weil: You know, the majority of the assets that had that vacant component had been addressed in 2025. There are a few important assets that we are looking at from that disposition standpoint that, yes, will have free cash post-sale that we will be able to deploy. You know, we have taken an approach with the guidance, $0.80 to $0.84, because we are really at the beginning of the year. Those are definitely numbers that are backed up by what we know in the portfolio. But there are certain things that are kind of macro-type events. You know, we think that there could be some benefit in Fed pricing as we come into spring that could open up opportunities in the market that we think we are well positioned to take advantage of. So the overall idea is to continue to execute the business, to be very smart and deliberate, and to look for opportunities that we think are going to be there primarily kind of in the summer and second half of the year.
Michael Patrick Gorman: Great. Thank you for the time.
Michael Weil: Thanks, Michael.
Operator: As a reminder, if you would like to ask a question, press 1 on your telephone keypad. Our next question comes from the line of Craig Gerald Kucera with Lucid Capital Markets. Please proceed with your question.
Michael Weil: Yeah. Hey. Good morning, Craig.
Craig Gerald Kucera: Mike, you made mention in the past that you were looking to reduce your c-store exposure, and I think you had worked that down from maybe 5% or so of the portfolio last year to maybe a little bit more than 1% through the third quarter. Are you where you want to be on that front, or do you still think you might make some additional sales? I am just trying to get the final breakdown, just one second, on gas and convenience.
Michael Weil: Because, yeah, as you said, it was definitely an intentional strategy to reduce our exposure. Gas and convenience is an asset class that has resilience, but it is very operator driven. So we are definitely comfortable at 1%. We have taken the real risk out of what we saw from an operator standpoint. And I think the team did a great job of getting value for those assets, and, you know, let us move into some things that just are a little bit easier to forecast.
Craig Gerald Kucera: Okay. That is helpful. Changing gears, I want to talk about your 2026 office lease expirations, which I think are a decent amount of the total in ’26. Are those more concentrated in the U.S. or Europe? And how are those discussions going so far?
Michael Weil: They are more heavily weighted to Europe and the U.K. The conversations are going well. Tenants are engaged. We are figuring out opportunities. We know that for the most part, tenants are going to renew. There are a number of conversations that will be playing out over the next one to two quarters. I will be with the team next week in London, and we will be really digging in on some of these conversations.
Craig Gerald Kucera: Okay. Great. And just one more for me. I guess as you are thinking about selling office, just given the McLaren sale, it would appear that there is stronger demand in Europe and the U.K. But are you expecting to also be able to sell out of the U.S. portfolio as well? Or is it going to be more heavily weighted overseas?
Michael Weil: No. We definitely see the U.S. market equivalently strong. It is just, obviously, McLaren was based in the U.K. And we always felt that McLaren was a special credit in the portfolio. You know, the building was so specifically designed for them. It was a large single-tenant building. So when we had that opportunity, we were thrilled. We loved owning it, and we also loved selling it at that price. But as we think about office opportunities in the U.S., very strong market as well. And, Craig, I am sorry. I just want to go back to your last question and put a little clarification around it. I believe the 2026 lease maturity on office is about 3.1% of straight-line rent. So it is something we are focused on, and we expect to have a lot of success with renewals.
Operator: We have no further questions at this time. Mr. Weil, I would like to turn the floor back over to you for closing comments.
Michael Weil: Thank you. Great. Well, thank you, everyone. We always appreciate you taking time to join us, not only for what we have accomplished in 2025, but the year ahead. We are very excited about the disproportionate amount of potential in the coming year. This is a business where you come to work every day, and you just grind it out. And that is what we are already doing in 2026. I think that we will have some announcements that are very interesting and beneficial for the company and, most importantly, for our shareholders. So we look forward to speaking again soon. And if anyone does have specific questions for Chris or Ori or myself, please reach out. We are always available for conversation. Thanks, everybody.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.